Operator: Good day, everyone, and welcome to the CSPi's Fiscal Fourth Quarter and Full Year 2025 Conference Call. [Operator Instructions] It is now my pleasure to hand the floor over to your host, Michael Polyviou. Sir, the floor is yours.
Michael Polyviou: Thank you, Matthew, and hello, everyone, and thank you for joining us to review CSPi's financial results for the fiscal 2025 fourth quarter and full year ended September 30, 2025, as well as recent operating development. Today, with me on the call is Victor Dellovo, CSPi's Chief Executive Officer; and Gary Levine, CSPi's Chief Financial Officer. After Victor and Gary conclude their opening remarks, we will then open the call for questions. [Operator Instructions] Statements made by CSPi's management on today's call regarding the company's business that are not historical facts may be forward-looking statements as those identified in federal securities laws. The words may, will, expect, believe, anticipate, project, plan, intend, estimate and continue as well as similar expressions are intended to identify forward-looking statements. Forward-looking statements should not be met as a guarantee of future performance or results. The company cautions you that these statements reflect the current expectations about the company's future performance or events and are subject to several uncertainties, risks and other influences, many of which are beyond the company's control that may influence the accuracy of the statements and the projections upon which the segment and statements are based. Factors that may affect the company's results include, but are not limited to, the risks and uncertainties discussed in the Risk Factors section of the annual report on Form 10-K and the quarterly report on Form 10-Q filed with the Securities and Exchange Commission. Forward-looking statements are based on the information available at the time those statements are made and management's good faith belief as of the time with respect to future events. All forward-looking statements are qualified in the entirety by this cautionary statement and CSPi undertakes no obligation to publicly revise or update any forward-looking statements, whether as a result of new information, future events or otherwise after date thereof. With that, I'll turn the call over to Victor Dellovo, Chief Executive Officer. Victor, please go ahead.
Victor Dellovo: Thanks, Michael, and good morning, everyone. We had a strong finish to the fiscal year. Overall fourth quarter revenue increased 11%, while our overall gross margins increased by more than 800 basis points to 37%. We significantly increased our profitability during the fiscal fourth quarter from the same prior fiscal quarter, while continuing to invest in building the deal pipeline and new customers of our highly differentiated and award-winning AZT PROTECT cybersecurity offering for the full fiscal year, maintained our strong balance sheet and positioned ourselves for increased momentum and growth in fiscal 2026. Once again, our Technology Solutions business drove our fourth quarter and full year growth. We expanded relationships with existing customers while gaining new customers due in large part by the exceptional customer retention track record we have earned in a wide variety of industries, including finance, manufacturing, oil and gas, health care, aerospace, education, utilities, telecommunication and maritime. Technology Solutions increased increases the efficiency and effectiveness of our customers' IT investment in networking, wireless, mobility unified communication and collaboration, data center and advanced technology security and continues to be a major driver of our service business growth. During the fourth quarter, our service revenue grew 63% over the same prior year quarter and represented approximately 44% of our total revenue. During the year ago fourth quarter, service revenue represented approximately 30% of total revenue. For the full year 2025, service revenue represented 36% of total revenue as compared to 33% a year ago. Managed cloud and MSP services are increasingly important part of our offering. And during the fiscal 2025, this business grew a healthy double-digit rate. One of our key objectives in fiscal 2026 is to build on that growth rate. To achieve this, we are allocating more resources to these opportunities, including adding more sales reps. Our MSP/cloud service strategy has been especially positively effective in the maritime industry. We are expanding installations during the fiscal 2025 and then gain contracts who service these installations the result of which will begin in realized in fiscal 2026. In addition, we entered our fiscal 2026 with backlog for cruise ships, installs and upgrades, which we hope to convert revenue over the next 12 months. Growing our service business benefits our shareholders in 2 important ways. First, the revenue tends to be very sticky given our strong service track record with customers and our unique position in the marketplace. Second, our service revenue earns higher gross margins than our product revenue. We are quite excited about the results generated from our service segment during the fiscal 2025 and are even more excited about our potential entering the fiscal 2026. Turning to the HP segment. We continue to gain traction with our strategic partners and distributors and their customers for AZT PROTECT cybersecurity offering. Over the course of the past fiscal year, our go-to-market strategy led to dozens of new AZT customer installations as well as it continuously expands pipeline for our new customers. Working through our gold star resellers, including the Rockwell Automation largest North American distributors. Our strategy is to successfully implement our solution at an individual site with the customers' operations then pursue other installation opportunities within the organization. We have recently executed this sales approach with several customers as we speak and are actively working on purchase orders with our partners to deploy AZT PROTECT at additional sites. To date, we have customers in the steel, energy, manufacturing, water utilities, pharmaceutical, food, telecommunication in other industries, all with multiple installation potential. Many of these potentials to become a 6- or 7-figure dollar relationship for our company. We have deployed case studies of the results achieved by AZT PROTECT within most of these industries and Rockwell distribution channels are aggressively taking these results to market. We believe this approach is working as we exit the year with a significant increase in the number of AZT PROTECT deployment deals in the works. In addition, in the fall of 2024, we participated in the Rockwell Automation Fair in Anaheim, which was a first step into the Rockwell Automation channel. We participated again this year at the Rockwell Fair in Chicago that was held a few weeks ago and isn't an exaggeration to say the booth was busy throughout the entire fair. Operational technology customers continue to lack the effective cybersecurity protection at the level AZT PROTECT provides. We continue to believe we have a strong competitive advantage in this space and also believe that the market now sees us as a substantial resource. Our objective is to convert this building momentum into sizable AZT PROTECT sales in fiscal 2026. We are quite excited about the direction in the fiscal year 2026 prospects for our business as we expand our focus to protecting industrial IoT devices. The devices in this space have traditionally been difficult to protect due to the types of processes used and limited resources available that typically don't support conventional IT-based endpoint protection solutions. AZT PROTECT has had an initial success in being selected and deployed in such environments. We are optimistic that this opens a new market for the product. Many AZT PROTECT installations require an approach to simply simplify mass deployments. That means our team has had to enhance our software to allow for easy integration into the industrial IoT products supplied by other vendors. To date, we have overcome these integration challenges without exception. There is still more work to be done to streamline the approach. However, this ability to integrate the deployment of AZT PROTECT into the industrial IoT companies existing systems is a major driver behind our growing pipeline into this large unserved industrial edge compute market. In summary, our service business exited the year on an extremely strong note. And our product business is gaining momentum. We believe we are on a trajectory to generate consistent profitability improvements for the fiscal full year 2026 as we built the infrastructure and made the investment required to support significant expansion of our business. As a result, we believe that we are in a position to significantly leverage revenue growth going forward. With that, I'm going to turn the call over to Gary to provide you with some more details about our recent financial performance. Gary?
Gary Levine: Thanks, Victor. For the fourth -- fiscal fourth quarter ended September 30, 2025, we generated $14.5 million in revenue as compared to $13 million for the year ago fourth quarter. Our products revenue decreased $1.1 million. Service revenues increased $2.5 million or 63% compared to the year ago period. Gross profit for the fourth quarter was $5.3 million compared to $3.7 million for the fourth quarter of fiscal 2024. The exceptional service revenue growth during the quarter drove the gross profit margin increase. Gross margin for the fourth quarter was 37%, which was more than 800 points higher than the same prior year quarter. The strong increase in service revenue drove the increased margin. On the expense side of the income statement, comparing the fourth quarter of fiscal 2025 to the same prior year quarter. Research and development costs increased 13% as we brought to market new features for AZT PROTECT and develop software solutions to engage and integrate of our solutions into customers' operations. Our SG&A expenses for the quarter were essentially flat as compared to last year. Our operating loss for the quarter was $0.5 million compared to $2 million operating loss for the same period of the prior year quarter. We reported a net loss of $191,000 or $0.02 per diluted share of common for the fourth quarter compared to a net income of $1.7 million of -- or $0.18 per diluted share for the year ago period. As of September 30, 2025, our balance sheet remains strong with cash and cash equivalents of $27.4 million. Our cash position is down about 10% from our cash position a year ago. However, we continue to provide revenue financing to qualified customers and you'll note that our financing receivables level doubled over the course of the past year. In addition, we invested in the growth strategy of AZT PROTECT. We also used cash to pay the $0.03 share dividend and repurchased 19,500 shares of our common stock during the fourth quarter for a total cost of $234,000. As we noted in the press release this morning, we will be paying a $0.03 a share dividend on July 15, 2026, to shareholders of record on December 26, 2025. Turning to the full year ended September 30, we grew the revenue by 6% and grew gross profit by was $18.5 million or 32% of sales compared to $18.9 million or 34% of sales. We reported a net loss of $91,000 or $0.01 per share of common compared with a net loss of $326,000 or $0.04 per diluted share of common for the prior year. I will turn the call over to the operator for your questions.
Operator: [Operator Instructions] Your first question is coming from Joseph Nerges from Segren Investments.
Joseph Nerges: My quick math here. You mentioned that the service revenue in the fourth quarter was like $0.44 of total sales. So that -- if my math is correct, you're close to $6.4 million in service revenue in the quarter alone. Am I correct? Am I wrong on that math?
Gary Levine: Yes. I mean, overall, as a company, yes, that's approximately...
Joseph Nerges: Yes, you said, I don't know, 44% of $14.5 million. That's where I'm coming up with the number. So that's a terrific number. I mean, being at the annual meeting several years ago, and Victor mentioned that he gets called all the time, trying to purchase our managed services operation. So if we continue with that, we're talking about a plus $20 million a year service revenue just in managed services alone in the TS division. So that's really terrific. But let me get on to a question. I really think this -- the last press release you guys issued on the IIoT expansion of AZT PROTECT is really -- you used the term -- Victor used the term game changer when you first introduced AZT PROTECT. And I really believe that this expansion is a game changer. Now as an example, I guess this all started basically with our -- am I correct, the cell tower customer in South Africa, where we deployed that and then we began deploying it through other suppliers in that environment. And then we keep talking about the black box. So as an example, if you have a cell tower customer with, let's say, 1,000 towers, what's the what is our potential for the endpoint -- how many endpoints can we possibly sign up if it's fully deployed and accepted by customers on the line? What are -- let's say, size of 1,000 towers?
Victor Dellovo: Well, if you look at the 2 press releases that we've done before, right, we started off with the black box that's inside the cell towers and then we opened it up to the cameras that are on the cell towers also. So those are the 2 press releases that I had released probably 6 months ago or so. And it's not 1,000 towers, it's tens of thousands of towers that we're talking about. I think the first round was like 15,000 and then it will continue to grow as they move out. And I had mentioned on the last call that it took some time to get the product to be able to integrate into those systems and with significant testing. And that has already gone through the testing, in approval process with the customer. And as we said on the other call and in press releases, we're trying to do a seed unit type of environment. And then we did that and we already get the second order for the cameras for additional cell towers. And as they continue to grow and expand, there should be further purchase orders throughout the year next year. Of what magnitude and what exactly that looks like too early to tell.
Joseph Nerges: But obviously, we're just talking about 1 cell tower customer here. How many other customers could we possibly integrate? Have we signed -- have we currently signed any OEM agreements in the IIoT environment? I mean the -- the guy that's -- the supplier of the black box, he would be, I assume, a potential OEM supplier for the IIoT market. Have we signed contracts with these people as of yet? For OEM deployment...
Victor Dellovo: Not yet.
Joseph Nerges: Not yet? So that would be the next stage. And I'm assuming that's a priority for our sales team going forward. Is signing up as many of these OEM suppliers as possible.
Victor Dellovo: Of course.
Joseph Nerges: Am I correct? Am I wrong in that? You would be focusing on...
Victor Dellovo: No, you're correct.
Joseph Nerges: Well, I think the numbers are great. I realize I know what the problem is, is simply we need the time to get rollouts -- full rollouts in some of our customers. I'm assuming our only full rollout of AZT PROTECT is in our pharmaceutical company. Most of the other...
Victor Dellovo: That's correct.
Joseph Nerges: Customers we have, have deployed it in individual plants or equipment, but not fully roll them out. So when you're saying you're expecting the full rollout over the next year to 2 years, I assume that's what you're talking about.
Victor Dellovo: Yes. In some cases, we're talking to different companies about doing like an enterprise agreement where centralized purchasing would purchase it and then roll it out to all the locations. And in some cases, I think I mentioned on the last call, we have to talk plant by plant. So since we had one initial plant that we sold to quarter, we sold it to a second one or a third one. So it just takes time based on just having to talk to 50 or 80 or 120 plants individually. So that takes time getting to -- it's easier than getting the first one in, but it's still a sales process. And then in some cases, we're talking to companies at the purchasing level where they want to cut one potential purchase order for all locations, which, of course, makes our life a lot easier and speeds up the time frame on when we can get the purchase order over the line.
Joseph Nerges: One more follow-up on that. And I'm assuming that all of these potential customers already have contracts signed in their OT environment cybersecurity contracts. So am I correct in some of these customers might be waiting for that contract to expire before they enter a new contract with a new supplier like us?
Victor Dellovo: In some cases, yes. In some cases, yes. So sometimes that the competition may not be supporting older versions of software. So one of the energy companies we sold to, that's what happened. They stopped supplying the product that they're currently using, which I don't want to mention, they stop supporting older versions of Microsoft. So we took over those couple of thousand devices because there -- they're not willing at this stage to throw them out completely, but at least we're in there and we're picking at it slowly.
Joseph Nerges: All right. I appreciate the answers. Good luck going forward. It sounds like '26 could be a really good year for us.
Victor Dellovo: Did you enjoy the show, Joe?
Joseph Nerges: Yes, except for one thing. I came back with a cold and I still have it. I'm still trying to get rid of the cold. But the show was really good. A lot of customers came by and they seem pretty well engaged. Now closing these guys is another story, but the numbers are there to from what I saw to hopefully get some pretty serious contracts in the not-too-distant future. So Yes, I appreciate inviting me to the show anyway.
Operator: Your next question is coming from Will Lauber from Visionary Wealth Advisors.
William Lauber: Just had a couple of questions. I guess I was at that Rockwell show as well for, I guess, a day and a morning. I didn't get to see the whole thing, but definitely saw quite a bit of traffic and the time was there. If I kind of remember right, most of the customers that you guys have gotten over the last year the connections were made at that Rockwell show a year ago. Is that true?
Victor Dellovo: That is correct. Yes. Most of the orders that we got all came from the Rockwell. So that's been our biggest way of getting leads.
William Lauber: Okay. And then can you kind of quantify the number of leads you got last year versus this year and then I guess, along with that, maybe the quality of leads, I assume it's probably better this time because I noticed a number of your distributors bringing their customers to the booth. So that's a lot better than just some random person walking by your booth and talking to you.
Victor Dellovo: Right. Yes. I'm glad you noticed that the distributors, the CDs, the Sonepar, the Rexel. They -- this year being comfortable with the product, having closed some opportunities that were way more comfortable. It was an introduction last year at the show, where this year, we have a relationship. So they brought a lot of their customers. There's been a lot of follow-up already. There's been a lot of appointments already set up our initial calls. Unfortunately, the timing of the show is like you got Thanksgiving right off of the following week. So everybody kind of takes that week off. So it's been the last 2 weeks where we we're able to get in touch with a lot of the individuals and set up initial meetings and their follow-up meetings right after Christmas. Just because we're back to back on these holidays as you see fit. But yes, we probably got a 50% increase in leads this year than over last year. I have -- we haven't gone through all of them yet at this stage, but they seem to -- we definitely have a lot more initial meetings than we did it quickly based on the relationships we do have with the Rexels of the world in CDs and Sonepar, but to set up meetings immediately for us. So yes, we're very optimistic that we closed a lot of deals last year because of this show. My goal is to close double if we could, right? We have about 50% more of the leads, and I think we have a better relationship with them. We have a better reputation. They kind of know us now. We have a lot of installs. So yes, I'm looking forward to 2026.
William Lauber: Yes, that was more leads than I thought. So that's good.
Victor Dellovo: Yes. You were there. Our booth was always full, right? You never saw no one that -- we had 2 demos going almost all day for the whole 8 hours that the show was there.
William Lauber: It was good. And then I know -- I mean, you guys have probably one of the smaller boosts and I'm sure that costs you quite a bit. But I think it's probably money well spent generating all those leads.
Victor Dellovo: Yes. Definitely, definitely.
Operator: Your next question is coming from Mike Price.
Unknown Analyst: You didn't mention Acronis, and I was wondering if AZT is being integrated into Acronis' software, is there not predictability as far as revenue is concerned? And if that's the case, can you give us an idea of what that might be?
Victor Dellovo: Well, it is being integrated about what the projections are on that, I think it's too early to tell. We're working diligently to get that done over the next few months. But as soon as I have some information I can share, I definitely will.
Unknown Analyst: So how soon do you think we start seeing some revenue? Is this something a couple of months late 2026, some kind of time frame? It seems like it should be a pretty significant number. Is it not?
Victor Dellovo: I think it's too early. Our hopes for both parties is that it's going to be significant for both of us. We fill a gap that they have. So that's kind of how we put this together, but what revenue looks like, I think it's just way too early for me to even guess at this point what that is, but our hopes that it's going to be significant for both parties. I don't think Acronis as being as big as they are, would team up with us if they -- and waste their time if they didn't think it was worth their time and effort.
Unknown Analyst: Okay. And last conference call, I asked you about the relationship with some of the resellers. Specifically UFT where with the original press release, they have 16,000 customers in the water and wastewater area. And you said that there are things in the works that would be discussed later. Do you have any more light on that?
Victor Dellovo: I do. So the powers to be at UFT wanted to get 3 sites implemented and then do case studies on those 3. So that's what's happened over the last couple of months. Their customers move slower than they would like, but we are on weekly calls with updates. And then in the new year, it's a full steam ahead to a lot of their customers are doing major marketing events jointly with their 16,000 customers doing reach out. But they needed case studies, they needed to change legal agreements. There was a lot that they had to do on their side to get this ready and I'm a little bit at their mercy, but the relationship is strong. We closed 3 opportunities over the last quarter. That was part of the case studies that they're writing up now.
Unknown Analyst: Okay. And one last quick question. Last quarter, you bought some shares, but are you not subject to the same -- the company is subject to the same rules as insiders as far as buying shares. So now that you're reporting earnings so late within 2 weeks of the end of the first quarter, you can't buy shares until next earnings. Is that the case?
Gary Levine: Yes, pretty much. Yes.
Unknown Analyst: So basically the blackout for share repurchase was from mid-September until mid-February when you next report. Is that correct?
Victor Dellovo: Well to the 15th of the month of December. And we're here now just because of when the year-end reporting. [indiscernible].
Unknown Analyst: You last had a window within 2 weeks at the end of the fiscal year, mid-September. Because of the late reporting is within 2 weeks at the end of the first quarter, you cannot buy shares again until you report earnings probably mid-February. Is that correct?
Victor Dellovo: Correct. That's correct.
Operator: [Operator Instructions] Your next question is coming from Brett Davidson.
Unknown Analyst: I want to turn back to the fog surrounding the Acronis or [ Acranis ] or however the names pronounced. So I understand that a lot of this is endpoint protected, the revenue generation. How does that work with the Acronis device. Who are you going to be recognizing the revenue from? Is that coming from Acronis or is that coming from their end user?
Victor Dellovo: It will be coming from a Acronis. And it's a little different with what we're doing with them. We're concentrating on scanning the backups before Acronis does the backups to make sure there's no all the content is secured, and there's nothing inside that. And then they would trigger the backup. And that's where the advantages are scanning of all the information that's before the backup occurs, we would scan it and certify that there's nothing wrong with it, and then they would the backup go. So if they ever had to do a recovery, it would be a secured recovery.
Unknown Analyst: So is this going to go on...
Victor Dellovo: So Acronis will be our customer at the end.
Unknown Analyst: Is this going to go on every one of those devices that they're producing? Or is it going to be based on what their customer wants? Or this is automatically going to be thrown on their devices?
Victor Dellovo: No, they would still have to sell it to their customer. That's the way it is right now. If it gets to the level that you just said that would be -- we're not there yet, let's put it that way. They got to go some to their industrial customers, which I can't mention and they have to show it as an added value.
Unknown Analyst: And it's going to work similar. This is going to be like a subscription type thing that will renew at some point?
Victor Dellovo: Yes.
Unknown Analyst: Perfect. And the only other thing that I had questions on was regarding the revenue next year. Is this something where we could reasonably expect incremental increases in revenue throughout the year? Or it's just so all over the place that you just don't have that kind of insight into what -- how this is going to play out.
Victor Dellovo: The latter. The latter...
Operator: That concludes our Q&A session. I'll now hand the conference back to Victor Dellovo for closing remarks. Please go ahead.
Victor Dellovo: Thank you, everyone, for joining us today. We hope you've come away today's call with a sense of excitement from our fourth quarter results and our opportunity for fiscal 2026. We are working extremely hard to capitalize on the opportunities we have had in the service side of our business as well as the AZT PROTECT, and we look forward to reporting on our progress with you in February of next year. In the meantime, thank you to our shareholders for their support, to our team for their dedication and effort, and we wish everyone a happy holidays. Goodbye for now.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.